Operator: Thank you for standing by, and welcome to the Q3 2025 AGF Management Limited Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Mr. Tsang. You may begin.
Ken Tsang: Thank you, operator, and good morning, everyone. I'm Ken Tsang, Chief Financial Officer of AGF Management Limited. Today, we will be discussing the financial results for the third quarter of fiscal 2025. Slides supporting today's call and webcast can be found in the Investor Relations section of agf.com. Also speaking on the call today will be Judy Goldring, Chief Executive Officer. For the question-and-answer period following the presentation, Ash Lawrence, Head of AGF Capital Partners; and David Stonehouse, Interim Chief Investment Officer, will also be available to address questions. Slide 4 provides the agenda for today's call. After the prepared remarks, we will be happy to take questions. With that, I will now turn the call over to Judy.
Judith Goldring: Good morning, and thank you for joining us. This was a strong quarter for AGF, but one also marked by profound loss with the sudden passing of Kevin McCreadie, our former CEO and CIO. Kevin was a tremendous leader and friend who is deeply missed by all of us. In the face of this tragedy, AGF's strong governance and well-established succession plan enabled us to respond with stability and continuity. In July, I announced updates to our senior leadership team. including naming Chris Jackson as President and COO; David Stonehouse as Interim CIO and Ash Lawrence as Executive Management team sponsor to the office of the CIO. A global search for a permanent CIO is underway. And in the interim, I am confident in the strength of our investment team under the leadership of David Stonehouse and the office of the CIO. As CEO of AGF and together with the executive management team, we are committed to continuing to execute on our strategic priorities. With the right people in place, a clear strategy and a strong balance sheet, we are well positioned to deliver consistent results and drive long-term success for the benefit of all of our stakeholders. Now moving on to our business updates. Global Markets were strong in Q3, overcoming the volatility experienced in the first half of 2025. With this macro backdrop, Q3 was another strong quarter for AGF. I'll begin with some highlights. AUM and fee-earning assets were $56.8 billion at the end of Q3, up 14% from a year ago. Compared to Q2, our average AUM was up 6%. AGF Investments retail mutual funds reported net sales of $262 million or 0.08% of mutual fund AUM in the quarter, outpacing the Canadian mutual fund industry. Our SMA and ETF AUM remained strong, which increased by 64% year-over-year to $3.5 billion. We reported adjusted diluted EPS of $0.46 in the quarter, up 18% from the previous quarter. In addition, we have $432 million in short- and long-term investments on our balance sheet. Net debt of $17 million with $186 million remaining on our credit facility. We have capital available and flexibility in our capital allocation strategy. Our European subsidiary was once again accepted as a signatory to the U.K. Stewardship Code, a best practice benchmark in investment stewardship. Finally, the Board declared a $0.125 per share dividend for Q3 2025. Starting on Slide 6, we will provide updates on our business performance. On this slide, we break down our total AUM and fee earning assets in the categories disclosed in our MD&A and show comparisons to the prior year. AGF Investments mutual fund AUM was $33 billion, up 17% year-over-year, outpacing the industry increase of 12%. The growth of our ETF and SMA AUM remains strong. I'll provide more color on our mutual fund sales and ETF and SMA AUM in a moment. Segregated accounts and sub-advisory AUM increased by 4% compared to the prior year. During the quarter, we received a redemption notice from one of our institutional clients for $500 million. The redemption was driven by the client's shift toward passive management to comply with regulatory requirements and is expected to occur in Q4 2025. The financial impact of the redemption is not material on our financial results, and we continue to see strong interest in our strategies in the institutional space. Our private wealth AUM increased by 10% compared to prior year to $9 billion, and our AGF Capital Partners AUM and fee-earning assets were $4.6 billion at the end of the quarter. As a reminder, New Holland Capital's AUM of $9 billion is not consolidated into AGF's total AUM and fee-earning assets at this time. Now turning to Slide 7. I'll provide some details on mutual fund sales. With volatility in equity markets subsiding, the Canadian mutual fund industry saw net positive sales in the quarter of $9 billion or 0.4% of AUM. AGF Investments retail mutual fund sales outpaced the industry and achieved $262 million of net sales in the quarter or 0.8% of our mutual fund AUM. The strength of our retail mutual fund sales reflects the successful execution of our distribution and marketing strategy, particularly in penetrating high-growth distribution channels supported by strong investment performance. Notably, all distribution channels delivered net positive sales this quarter, underscoring the broad-based momentum across our platform. Let me provide a brief update on our investment performance, which continues to be strong. AGF Investments measures mutual fund performance by comparing gross returns before fees relative to peers within the same category with the first percentile being the best possible performance. Our 1-year performance was in the 44th percentile. Our 3-year performance was in the 50th percentile and our 5-year performance is in the 41st percentile and approximately 58% of our strategies are outperforming our peers on a 3- and 5-year basis. Turning now to Slide 8. Slide 8 shows our ETF and SMA AUM. The AUM in this category is at $3.5 billion and has grown 62% on a compounded basis over the last 2 years. Included in this number are Canadian and U.S. listed ETFs and SMA platforms globally. We have seen consistent growth and momentum in our SMA AUMs across the U.S., Canada and Asia, where many of our strategies are available on leading wealth management platforms. I will now pass it over to Ken to discuss our financial results.
Ken Tsang: Thanks, Judy. Slide 9 reflects a summary of our financial results with sequential quarter and year-over-year comparisons. The financial results in these periods are adjusted to exclude severance, corporate development and noncash acquisition-related expenses. Adjusted EBITDA for the quarter was $46 million, which is $7 million higher than Q2 and $6 million higher compared to the prior year. The improvement was primarily driven by higher AUM levels. SG&A was $61 million, up $2 million from both the previous quarters and the same time last year. The increase from Q2 was mainly due to higher performance-based compensation, reflecting our strong business momentum. Adjusted net income attributable to equity owners for the current quarter was $31 million and adjusted diluted EPS was $0.46. Free cash flows for the quarter was $31 million, up $7 million from Q2, primarily due to higher net management fee revenues and distribution income in the current quarter. Slide 10 provides a further breakdown of our net revenues. Within our traditional asset and wealth management businesses, net management fees were $92 million for the quarter, which is $8 million higher than the prior quarter and $11 million higher than the prior year. This growth was primarily driven by higher AUM levels, as previously noted. Revenues from AGF Capital Partners business remained strong, reporting $16 million this quarter. The decrease from the prior year is mainly due to elevated recurring manager earnings and carried interest income in Q3 of 2024 as a result of the monetization of one of Kensington's investments. These monetizations can be lumpy from quarter-to-quarter. On Slide 11, we outline adjustments to our EBITDA. As you might recall, the AGF Capital Partners business gives rise to various LLTIP, contingent consideration and put option obligations. These liabilities are fair valued each quarter with the difference flowing through to the P&L. These accruals and fair value adjustments have no immediate cash impact and create noise quarterly, which is why we've adjusted for these items to facilitate easier comparison of quarterly results. This quarter, we have also adjusted for nonrecurring expenses related to the accelerated vesting of Kevin McCreadie's long-term incentive plan as a result of his passing. Adjusting for these items, along with severance and other expenses, our adjusted EBITDA for this quarter is $46 million. Turning to Slide 12, I will walk through the yield on our business in terms of basis points. This slide shows our average AUM, net management fees, adjusted SG&A and EBITDA as basis points on our average AUM in the current quarter, previous quarter and trailing 12 months. This view excludes AUM and related results from AGF Capital Partners as well as DSC revenues, other income and any other onetime adjustments. The EBITDA yield this quarter was 25 basis points, which is 1 basis point higher than the prior quarter and 2 basis points higher than the trailing 12 months. The increase was driven by lower SG&A relative to our AUM, highlighting the operating leverage of our business. Turning to Slide 13, I will discuss our free cash flows and capital uses. This slide represents the last 5 quarters of consolidated free cash flows on a trailing 12-month basis, as shown by the orange bars on the chart. The black line represents the percentage of free cash flows that was paid out as dividends. Our trailing 12-month free cash flow was $108 million, and our dividends paid as a percentage of free cash flows was 28%. In the same period, we returned $49 million to shareholders, consisting of $31 million in dividends and $18 million in share buybacks. During the quarter, we repurchased over 1 million shares under our NCIB for approximately $12 million. We ended the quarter with net debt of $17 million. We also have $432 million in short-term and long-term investments and have $186 million remaining on our credit facility, which provides credit to a maximum of $250 million. Our future capital allocation will be balanced and includes returning capital to shareholders in the form of dividends and share buybacks as well as investing in areas of growth. Before I pass it back to Judy, let me take a minute on Slide 14 to look at our market valuation. AGF's current share price of $14, which, by the way, has increased by approximately 30% year-to-date, translates to an enterprise value of approximately $920 million. Taking our $432 million of short- and long-term investments into account, our remaining enterprise value is about $485 million. This implies a 3.7x enterprise value to EBITDA multiple on our trailing 12 months adjusted EBITDA, excluding income from our long-term and short-term investments. Comparing this multiple to those of other traditional and alternative asset managers and recent acquisitions would suggest further potential upside to our valuation. I will now pass it back to Judy to close out our presentation.
Judith Goldring: To wrap up this quarter, we've made significant strides in achieving our strategic goals. Our AUM and fee-earning assets continue to climb, reaching nearly $57 billion. Our investment performance remains solid. Our sales momentum remains strong and continue to outpace the industry. We remain disciplined in our expense management while investing for growth and the strength of our balance sheet and capital position will provide us with flexibility in our capital allocation strategy and the resilience to weather a challenging market environment. I would also like to take a moment to thank our AGF team for all that you've done and continue to do to support our organization. Your resilience, professionalism and unwavering commitment has been truly inspiring. Your dedication continues to be the foundation of our strength as we move forward together. We will now take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Gary Ho of Desjardin Capital Markets.
Gary Ho: First, just on your mutual fund net flows, $262 million, perhaps for Judy, fairly strong. Just wondering what strategies are you seeing the most success in? And with rates coming down, are you seeing perhaps greater flows into equity categories yet? And then perhaps if you can elaborate on whether that strong momentum has carried through so far in Q4?
Judith Goldring: Yes. Thanks, Gary. Certainly, we did see in the industry flows, they had positive flows going into heavily weighted at least into the fixed income categories, but there was, of course, strong flows going into the balanced equities and some of the specialty categories. Similarly, at AGF, we do tilt more towards the equities. So we did see strong flows into our equity categories. But we did see flows into our Fixed Income Plus and Global Select European equity, which, as you know, is a 2-time Lipper award winner 5-star Morningstar fund. So it's been seeing some interesting flows. And then we launched recently our enhanced income fund, which -- Income Plus, which has actually seen some very strong flows in a very short period of time. So it's really demonstrating a broad breadth of our product lineup and seeing the flows across that. And then quarter-to-date, we're seeing $64 million or $65 million, I should say, as of last night, again, emphasizing continued strong flows.
Gary Ho: Great. Okay. That's good to hear. Second question, maybe for Ken. As you plan out your budget for next year, just wondering any priorities that may require a higher cadence of SG&A. Historically, I think you've kind of guided to kind of cost of living type increases in the 3% to 4%. Just curious to hear if there are any other investments that you're looking at in the pipeline over the next year or so.
Ken Tsang: Yes. Thanks, Gary. As you might know, we typically provide guidance on next year's SG&A in Q4. Having said that, of course, as you might be aware, we did make some earlier on investments in our sales force, which is clearly paying off now. But we continue to evaluate all investment opportunities going forward, and we'll provide more clarity in Q4 as to our SG&A guidance.
Gary Ho: Okay. Great. And then maybe just last question, just spreading it out a bit for Ash. Wondering if you wouldn't mind giving an update on how New Holland is progressing. I believe there -- I think you mentioned around CAD 9 billion. Just maybe just remind us when you could potentially increase your stake in New Holland and your appetite for that? And how is the launch of the Tactical Alpha Fund in Canada?
Ashley Lawrence: Yes, for sure. Thanks, Gary. So more broadly, just on New Holland Capital, they're having a pretty good year. on a few fronts, net inflows to a number of their strategies, including their multi-strat and some of their credit investments that they make as well and some positive feedback from market on the fundraising side for them. So it's been a pretty good year on that front. As it relates to our AGF run feeder fund here in Canada, that just launched earlier this year. And so most of our activity has really been on approvals getting on platforms. We have had good response from market as we've been touring around seeing advisers and investors with the New Holland team. So we do expect as we move into the latter half of this year and early next to start seeing some activity there, some more activity there. So that's been a positive. And then the last point of your question, as we've disclosed in February of next year 2026, we have the first of 2 options to both convert our position from debt to equity and increase our ownership to 51%. We are evaluating that now, and we'll make a decision as we go forward and that window opens. But at the present, based on the update I just gave you, we're feeling pretty positive about where we want to take our relationship with New Holland.
Operator: And our next question comes from the line of Graham Ryding of TD Securities.
Graham Ryding: Can you hear me?
Operator: Yes, we can hear you.
Graham Ryding: Great. Just on the ETF SMA side, pretty solid growth there, collectively up 64% year-over-year. Is there any color you can provide in just sort of breaking out what the AUM is for SMA and ETFs in particular? And then maybe what the flows are like for those 2 different areas of your business in the quarter or year-to-date?
Judith Goldring: We don't split out the actual ETF and SMA. In part, that's just due to the timing of getting the accurate AUM of the SMA in particular. But certainly, we've seen strong growth in the U.S., largely on the backs of us getting on to several different platforms. And so that growth has been quite impressive, hitting just over $2 billion for the ETFs and SMA. And then in Canada, we continue to penetrate different platforms as well. And we've just seen huge investor demand and adviser demand for that particular kind of product.
Graham Ryding: Okay. And then on the Capital Partners side, is there any fundraising underway that you can flag either at the institutional level or maybe some color on traction or progress on selling capital partners products, be it Kensington or New Holland Capital into those retail channels.
Ashley Lawrence: Yes, sure. It's Ash here. So we're relatively early days in terms of the build-out of the capital partners distribution team here in Canada. So what I can tell you is we are actively out there with a number of strategies, some of those being related to New Holland Capital that I gave a previous answer on. We're seeing good traction in terms of conversations and interest. It's probably a little bit early in terms of actual flows. Sales cycle for alternatives in the institutional world is relatively long. And a lot of the -- especially for New Holland introduction to Canadian investors is the first time they'll be seeing this strategy in that manager. But we're feeling pretty positive about the meetings and how that is going. As well on the -- what I'll call the evergreen side, we're starting to see some good activity on the private credit side. I think the competition has picked up in certain retail channels for that strategy, but our sort of consistent performance and now longer track record is helping us in that channel. On the private equity side, returns have been relatively muted across the whole industry for reasons that I think everyone probably has read about with the rapid rise in interest rates and then followed on by the tariff situation. So it's been pretty muted in that sector, especially when you have a mature fund that has been investing through the full cycle versus some of the competition that is relatively early in their inception.
Graham Ryding: Okay. Understood. And sorry, did you say that New Holland Capital on its own, even though it's not consolidated in your results potentially just yet, but New Holland Capital is seeing solid organic growth onto itself?
Ashley Lawrence: Yes, they've been positive fundraising over the course of the year this year. Again, given that most of their investor base or all of their investor base at present is institutional, it does tend to be a little bit chunky.
Ken Tsang: I'll just -- Graham, it's Ken. Just a reminder, when we made the acquisition of New Holland, average assets under management was about USD 5 billion. And as of the end of August of this year, it's currently at around USD 6.7 billion. So certainly have seen some very strong momentum in that business.
Operator: [Operator Instructions] I'm showing no further questions at this time. I'll now turn it back to Judy for closing remarks.
Judith Goldring: Thank you very much for your questions and for attending today. Just to recap, this was another strong quarter for AGF at $0.46 EPS. Our investment performance remains strong, and our sales momentum continues to outpace the industry. Our strong balance sheet and strong cash flow positions us well to return capital to our shareholders while driving long-term growth. So thank you again for attending, and we look forward to our Q4 earnings call on January 27, 2026.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.